Operator: Good morning and welcome to the First Quarter 2012 Results Conference Call for Denison Mines Corp. Your host for today will be Mr. Ron Hochstein. Mr. Hochstein, please go ahead.
Ron Hochstein: Thank you, Catherine. Good morning. Participating with me today is Jim Anderson, Executive Vice President and Chief Financial Officer. We will start with a brief look at the quarter’s highlights following that Jim will speak to the financial results and then I’ll take a look at the Q1 production figures, update you on our exploration programs and then explain some revisions to our outlook for the remainder of 2012. We will then answer questions. This discussion includes forward-looking information. Actual future results may differ from expected results for a variety of reasons described in the cautionary statements regarding forward-looking information section of our press release. All amounts are in U.S. dollars unless otherwise indicated. The major highlight, though it happened after the quarter ended, was the announcement of the Letter Agreement between Denison and Energy Fuels, Inc. that would allow Energy Fuels to acquire Denison’s U.S. mining operations. In exchange, Denison’s shareholders will received approximately 1.106 EFR shares for every Denison common share they hold. The transaction is subject to a number of conditions that are outlined in the April 16 press release. Included in the conditions is shareholder approval on both sides. The Denison’s Special Meeting of shareholders to approve this transaction is scheduled for Monday, June 25. Since we had a conference call and presentation specifically about the Energy Fuels’ transaction a couple of weeks ago, I will not go into any further detail during this presentation, but we are prepared to answer any questions you might have later during the Q&A. Now I would like to turn the call over to Jim.
James Anderson: Thank you, Ron. Good morning, everyone. Revenue for the 3 months ended March 31, 2012 was $26.4 million compared with $26.8 million in Q1 of 2011. Revenue included uranium sales of $22.7 million from the sale of 380,000 pounds U3O8 at an average price of $59.74 per pound. This compares with 267,000 pounds U3O8 sold in the first quarter of 2011 at an average price of $63.26 per pound. There were no vanadium sales in Q1. Revenue from Denison’s Environmental Services division was $3.2 million for the 3 months ended March 31, 2011 compared to $3.5 million in the 2011 period. Revenue from the management contract with Uranium Participation Corporation was $435,000 compared with $551,000 in the same period in 2011. Exploration expenses during the first quarter totaled approximately $3 million, approximately $2.6 million of this was spent in the Athabasca Basin in Northern Saskatchewan where we are engaged in exploration as part of the AREVA operated the McClean and Wolly joint ventures as well as 3 other projects including Wheeler River. We also spent $119,000 at the Mutanga project in Zambia and $306,000 in Mongolia. Consolidated net loss for the quarter was $52 million or $0.14 per share compared with a net loss of $7 million or $0.02 per share last year. The Q1 net loss included a charge of $44 million resulting from an impairment related to the U.S. mining segment being sold to Energy Fuels. While the transaction from a shareholder’s perspective is mostly a reorganization to split the U.S. mining segment from the balance of the business, the accounting is for disposition of assets. And even though the transaction hasn’t closed yet, the EFR agreement is a triggering event for evaluation of impairment as at March 31, 2012. Using our fair value less costs to sell analysis as of March 31, 2012 the 425,441,000 shares of EFR valued at a volume weighted average share price of $0.30 resulted in an impairment loss of $44 million in Q1. This loss may be adjusted at close depending upon the market value of the EFR shares at that time. Inventory available for sale from U.S. production at the end of March totaled 230,000 pounds U3O8 with an approximate value of $11.7 million at spot market prices at March 31, 2012. We had no vanadium inventory for sale at March 31. As of March 31, the company had cash and cash equivalents of $43.5 million compared with $53.5 million at December 31, 2011. The decrease of $10 million was primarily due to cash used in operations of $4.8 million and expenditures on property, plant and equipment totaling $5.7 million. Our bank indebtedness under our revolving credit facility was 0 as of March 31. For a more detailed discussion of our financial results, I refer you to our MD&A. Now I’d like to turn the call back over to Ron.
Ron Hochstein: Thank you, Jim. At the White Mesa mill, Q1 production was 414,000 pounds U3O8 at an average cost of $32.49 per pound. Since production was primarily from conventional ore from the Arizona 1 and Daneros mines, no vanadium was produced during the quarter. A year ago for the 3 months ended March 31, we produced 340,000 pounds U3O8 and 413,000 pounds V2O5 at an average cost net of vanadium credits of $50.18 per pound U3O8. Costs are lower this year due to the types of ore processed and lower sulfuric acid costs. At March 31, 2012, a total of 100,000 tons of conventional ore were stockpiled at the mill, containing approximately 572,000 pounds U3O8 and 1.9 million pounds V2O5. The company also had approximately 526,000 pounds U3O8 contained in the alternate feed material stockpiled at the mill at March 31, 2012. The McClean Lake mill remains on standby with the Cigar Lake joint venture paying nearly all of the standby costs. AREVA has begun increasing staff at McClean in anticipation of milling of Cigar Lake ore to begin in 2013. The McClean Lake joint venture has been actively working on 2 development projects; McClean Lake North and Midwest. Denison expects this year to spend approximately $3.5 million on these projects and on the SABM program, which I’ll explain later. The McClean Lake projects are all operated by AREVA Resources Canada. The McClean North is our McClean underground development project. The feasibility study is being revised to include the Sue D and Caribou deposits. We’re expecting a production decision on McClean underground by the fourth quarter of this year. And if favorable, we could be in production by late 2015 or early 2016. On the Midwest project, the provincial and federal authorities are continuing with the evaluation and approval of the final environmental assessment. We expect them to make a decision late in the third quarter of this year. This summer a 3-hole test program of the Surface Access Borehole Mining method or SABM will be carried out on one of the McClean North ore pods. SABM was formerly called the MED program. SABM combines surface drilling with hydraulic borehole mining technology. The method involves drilling a small access borehole to provide an entrance way for the high-pressure water jet nozzle, that then cuts or erodes the ore creating a slurry that is pumped to the surface and processed. Each mined-out cavity is then backfilled. SABM is projected to have low capital costs, improved safety benefits, ease of licensing, and a small environmental footprint. The field testing this year is an effort to optimize technology and improve on the testing results we have already obtained in the last couple of years. SABM is a potential mining method now being evaluated for Midwest, and the testing this year will provide further data in order to evaluate SABM further. Turning now to our exploration drilling activities at Wheeler River. The 2012 winter drilling program has been completed and consisted of 25 holes for 12,468 meters. The major focus of the drilling was testing several areas interpreted to host fault controlled thickening or stacking of mineralization in Zone A. The program identified mineralization which should expand the existing estimate of the mineral resources in that zone. As mentioned earlier, in February we released some preliminary 2012 results, including WR-435 which intersected 25.8% eU3O8 over 4.9 meters, and WR-437 which intersected 27% eU3O8 over 3.7 meters. Both of these holes are on the western flank of Zone A. We expect to release complete results from the winter drilling in the next few weeks. We expect to commence summer drilling at Wheeler River in June. The 15,000 meter summer program will concentrate on definition drilling of Zone B, and we’ll also be exploring some regional targets. We’re planning to spend a total of CAD 6.8 million at Wheeler River this year with Denison’s share being CAD 4.1 million. Both of those figures in Canadian dollars. In Zambia at the 100% owned Mutanga project, we are going to follow up on our successful 2011 drill program. Last week a 15,000 meter exploration drill program began, focusing on several targets that have been identified near the existing resources. The Zambian program will total an estimated $7.1 million this year. In Mongolia at the Gurvan Saihan joint venture, we acquired the 15% interest of our -- of Geologorazvedka, our former Russian partner, for cash consideration of $742,000 and the release of Geologorazvedka’s share of unfunded joint venture obligations. This additional interest is expected to be transferred to Mon-Atom, our Mongolian government partner, as part of the restructuring plan. The final restructuring of the GSJV is expected to result in Denison having its original 70% interest reduced to 66%, thus allowing the Mongolian government to hold 34%, the minimum entitled interest under the new law. It is anticipated that the restructuring will be completed in 2012. This year a $4.3 million exploration program is projected in Mongolia. Drilling is underway following up on the 2011 discoveries at our Urt Tsav and Ulziit properties. A total of 27,900 meters is planned. Regarding our outlook for the remainder of 2012 as a result of the transaction with Energy Fuels, the U.S. mining segment will be sold to Energy Fuels effective at the closing date which is currently expected to be at the end of June. As a result, production in sales from the closing date will accrue to Energy Fuels. In the second quarter, we anticipate that the White Mesa Mill will produce approximately 277,000 pounds U3O8 from alternate feed resources. Q2 uranium sales are forecasted to be approximately 316,000 pounds U308. Going forward Denison plans to aggressively pursue its Canadian and international exploration and development strategy with the diversified rates of projects in Canada, Zambia, Mongolia and a strong balance sheet Denison is well positioned to turn its low world class assets into growing shareholder value. That concludes the formal presentation. Thank you for your time and now we would be happy to answer any questions. Catherine?
Operator: [Operator Instructions] Our first question is from Adam Schatzker of RBC Capital Markets.
Adam Schatzker: Ron, I am wondering if you could help me with a question here, looking at CNDC website I see on the May 1 a revoke presented in the closed session of the Midwest project obviously been closed, I don’t know what they presented. Perhaps you can just give us some idea of some of the general project description that they put in front of the CNSC such as was it open pit or underground timelines or just anything we can sort of sink our teeth into?
Ron Hochstein: What was presented to the CNSC I think it was just the overall general environmental review, the environmental of the project and at this point in time, sort of that we’re leaving the mining method open as we are currently evaluating now 3 methods open pit, underground and now SABM as well.
Adam Schatzker: So I guess further on the SABM, obviously something that AREVA did a lot of test work before. Can you give us an idea of what percentage of the ore body might be recovered by that?
Ron Hochstein: Right now, if you were to look at that Adam based on the test work we’ve done today then obviously this year's program will go much further to either confirming it or allowing us to take the more aggressive, some assumptions. But based on the preliminary work that is done so far I believe the number was around both 70% recovery.
Adam Schatzker: A quick housing keeping I think, do you guys have a shareholder rights plan?
Ron Hochstein: No, we do not.
Adam Schatzker: Is that something you’re looking at?
Ron Hochstein: At the present time, no.
Adam Schatzker: The Wheeler River, you mentioned the exploration is coming forward and I am just looking at what might be possible to sort of step that up if possible, are you considering that now that you are moving away from being a producer to more of an exploration company?
Ron Hochstein: We will certainly be looking at that for next year Adam, we are fairly restricted this year in what we could do with the joint venture unless we get agreement by the partners we can only have a slight variation of the budget and one of our partners has requested that we really try and stick close to budget this year.
Adam Schatzker: Okay and lastly with respect to the Zambia and Mongolia again with this transition from a producer to an explorer, I think these were assets that were more or less ignored by the market and one of the reasons is we don’t have again much to sink our teeth into with respect to value. At what point do you think we will have an idea of things like CapEx, timeline production, potential and notions like that?
Ron Hochstein: Adam, you nailed that. That’s going to be one of our focus as to get through this transaction and start getting much more visibility on those projects. So I think you will be seeing more information coming over especially with regards to Zambia with regards to results of the drilling but also a bit more visibility on what we are looking at in terms of the overall project in terms of capital, operating, et cetera.
Adam Schatzker: You have any rough ideas right now that numbers we might consider with respect to timelines and production potential?
Ron Hochstein: With regards to Mongolia we have always been looking at roughly about 1.5 million pound per year ISR production facility. Obviously timing is largely dependent upon when we receive our mining licenses, which this year with the election coming up here in less than a month’s time in Mongolia, there is not much happening now and we probably won't get going again on negotiations with regards to joint venture structure to well into July or August. So the exact timing on that and we see the mining licenses, let's just say talking in forward-looking if we received our mining license as early next year you could start to see production from semi-commercial like sort of pilot plant levels about 18 months after that and then ramping up to more full production probably 12 months after that. With regards to Mutanga, a large part in terms of the amount we produce is going to depend on our drilling that we do this year. Obviously, we hopefully have the same success we had in 2011. If we can again do another double of resources or even add another 30 million to 40 million pounds that changes your production, and one of the advantages of Mutanga is that project is permitted, so once we -- if we have a successful program this year I can see us moving forward to aggressively update the studies that had been done so far and be able to move forward with a production decision next year.
Operator: Thank you. [Operator Instructions] We have no further questions registered at this time. I would now like to return the meeting over to Mr. Hochstein.
Ron Hochstein: Thanks, everyone, for attending this call. For those of you we do have our annual general meeting this afternoon at 4:30 and hopefully look forward to some of you that are here in town to potentially attend. Thank you very much.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.